Operator: Good morning, and welcome to the Ocean Power Technologies Third Quarter of Fiscal Year 2024 Earnings Conference Call. The webcast of this call is also available and can be accessed by a link on the company's website at www.oceanpowertechnologies.com. This conference call is being recorded and will be available for replay shortly after its completion. On the call today are Dr. Philipp Stratmann, President and Chief Executive Officer; Bob Powers, Senior Vice President and Chief Financial Officer; and Joseph DiPietro, Controller, Treasurer and Principal Accounting Officer. Following the prepared remarks, there will be a question-and-answer session. It’s not my pleasure to introduce Joseph DiPietro. Please go ahead, sir.
Joseph DiPietro: Thank you, and good morning. After the market closed yesterday, we issued our earnings press release and filed our report on Form 10-Q for the quarter ended January 31, 2024. Our public filings are available on the SEC website and within the Investor Relations section of the OPT website. During this call, we will make forward-looking statements that are within the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements may include financial projections or other statements of the company's plans, objectives, expectations or intentions. These statements are based on assumptions made by management regarding future circumstances over which the company may have little or no control and involve risks, uncertainties and other factors that may cause actual results to be materially different from any future results expressed or implied by such forward-looking statements. Additional information about these risks and uncertainties can be found in the company's Form 10-K and subsequent filings with the SEC. The company disclaims any obligation or intention to update the forward-looking statements made on this call. Finally, we posted an updated investor presentation on our IR website. Please take a moment to review it as it provides a nice overview of our company and strategy. Now, I’m pleased to introduce Dr. Philipp Stratmann.
Philipp Stratmann: Thank you, Joe, and good morning, everyone. We're pleased to have you join us on this call, and your continued support is greatly valued as we advance with our plans to enhance shareholder value. Before we delve into the numbers, on February 28, we conducted our 2023 Annual General Meeting. I am pleased to announce that all of the resolutions proposed at the Annual General Meeting were duly passed by our shareholders, including the reelection of all of our Board members by a strong majority of the votes cast. I'd like to thank you for this vote of confidence. The management team we have put together over the past two years has the right skills to take advantage of the market demand, which is clear. Our customers are procuring autonomous resident and roaming assets that protect marine environments, collect essential ocean data, and enhance national security. We continue building our pipeline and are converting opportunities into backlog and revenues, as seen with wins like the recently announced vehicle order from a Latin American customer and the latest subcontract from a U.S.-based prime contractor for multiple maritime domain awareness buoys. We believe we're well-positioned to reward your confidence and turn this momentum into profitable growth and deliver value for our shareholders. Let's talk about some recent developments. We continue to make progress on our path to profitability in line with our November 2023 announcement that we have substantially completed our research and development phase and are primarily focused on commercial activities. This pivot to commercial activities has enabled reallocation of headcount, resulting in approximately $4.5 million in annual run rate savings on a go-forward basis, and a material reduction in third-party expenditures. The majority of our employees are now dedicated to customer delivery, which includes manufacturing, vehicle operations, and marine deployments. We have built a suite of products and solutions that we believe will be the basis for our current and future commercial success and is driving meaningful progress in backlog, revenue, and profitability, with our pipeline of $77 million increasing over 5X year-over-year. We expect that recent meaningful contract wins, which I will describe more fully in a moment, the growth in our commercial pipeline, and the expense savings noted, will enable us to reach profitability during calendar year 2025. In February 2024, we received multiple orders of fully integrated WAM-V unmanned surface vehicles, also known as USVs, from clients in Latin America, highlighting the wide-ranging capabilities and applications of the WAM-V USVs and heightened interest and trust in our WAM-V technology from clients across the globe. These orders underscore the growing demand for OPT's advanced marine technologies and their applications in maritime surveillance, environmental monitoring, and ocean data collection. Also in February 2024, we received funding from the Naval Postgraduate School in Monterey, California, for a year-long deployment of a PowerBuoy in Monterey Bay. The PowerBuoy, integrating OPT's maritime domain awareness system along with cutting-edge satellite communication and AT&T 5G technology, will demonstrate its persistent surveillance and communications capacities in a maritime environment. This advancement is a testament to the ongoing collaboration between OPT and AT&T. In December 2023, we secured our first multi-buoy letter contract. This is a planned subcontract with a U.S.-based prime contractor to deliver maritime domain awareness solutions for U.S. government agencies. We are currently working on the conversion of the letter contract to a firm order. In addition to these contracts, we also completed several deployments with our WAM-Vs and delivered additional vehicles from our facilities in New Jersey and California. In addition to the aforementioned activities, we continue to see increased levels of commercial demand. The company is positioned well to deliver to our customers in the defense and national security space, and over 20% of our workforce are military veterans. Our opportunity pipeline continues to grow. In addition to the orders I just discussed, we have also continued to add to the top of the pipeline. We are continuing to grow our revenues and our gross profit margins are increasing. Our strategy is working, and we see additional opportunities for multi-system orders, vehicles and buoys on the horizon. Now, before we dive into the financial highlights, I'd like to introduce our CFO, Bob Powers. Bob will provide you with more detailed information about our financial performance in Q3 2024.
Robert Powers: Thanks, Philipp. Let's begin with revenue. In Q3 2024, our revenues reached $1.8 million, marking an increase of over 2.5X compared to the $0.7 million reported in the same period in the prior year. Year-to-date, our revenue generation is in excess of 2X where we were last year. This growth can be primarily attributed to the conversion of backlog from our strong performance in WAM-V sales and revenue generated from our DOE contract. Our orders are at $3.4 million year-to-date and growing, with backlog standing at $3.3 million at January 31st, 2024. We continue to expect order activity and revenue to ramp meaningfully throughout the final quarter of our fiscal year. Our gross profit for Q3 2024 stood at $.8 million, a substantial improvement compared to the Q3 2023 figure, which showed a gross profit of $.1 million. This improvement is primarily attributed to our unmanned vehicles business, particularly the higher margin WAM-V leasing business. I am enthused about the progress we've made in this area and the expansion of the progress made throughout fiscal 2024. Our operating expenses for Q3 2024 amounted to $8.5 million and $24.6 million on a year-to-date basis. The year-to-date figure includes approximately $3.2 million in extraordinary expenses related to the company defending litigation and other failed offensive tactics by Paragon Technologies, Inc. to achieve control of OPT without following required applicable legal requirements. As for the net result, we reported a net loss of $6.5 million for Q3 2024 compared to a net loss of $6.1 million in Q3 2023. This is despite the materially higher extraordinary expenses. We continue to manage our costs tightly, making targeted investments in the personnel and structure needed to support our strategy and plans for growth. As Philipp mentioned, we expect our operating expenses to decrease materially going forward as a result of our plan to achieve profitability. On the balance sheet front, our combined cash, unrestricted cash, cash equivalents, and short-term investments as of January 31st, 2024 totaled $9.1 million. Notably, we continue to maintain a debt-free balance sheet with no bank debt in our financial structure. In terms of cash flow, the net cash used in operating activities for the first nine months of fiscal 2024 amounted to $24.7 million. This primarily reflects our net loss, the payout of employment bonuses accrued during fiscal year 2023, and the payment of the earnout accrued during fiscal 2023 related to the outstanding performance of our autonomous vehicles business. In addition to payment of expenses related to Paragon activities as I just mentioned. Finally, you will note that our inventory balance increased by approximately $2.5 million to $3.5 million. This investment in inventory was necessary in order to satisfy backlog as well as our planned growth in revenue for fiscal 2024. That covers our financial update. Before we enter Q&A, I'd like to remind everyone that the purpose of today's call is to discuss our quarter of fiscal year 2024 results as well as our financial outlook. As we head into Q&A, we ask that you limit your questions to these topics. Thank you.
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] Our first question is coming from Jeff Grampp from Alliance Global Partners. Your line is now live.
Jeff Grampp: Good morning, guys. Thanks for the time. I was curious first to start on this PowerBuoy contract with the U.S. prime, the $6.5 million or up to that. I'm curious, what are the main variables in play when kind of assessing how much of that is potentially available to you guys? And is there a rough timing that you'd expect to recognize the potential revenue of that project?
Philipp Stratmann: Hey, Jeff. Good morning. Thanks for being on and thanks for the question. So in this specific case, it's for an unnamed U.S. government agency. A letter subcontract is essentially the way that the U.S. government and its prime contractors work on finalizing statements of work and what would need to be done. And then they work on what in the government they refer to as definitizing the contracts. So I'm actually in Washington, D.C. this week. And part of the ongoing discussions we're having is finalizing the exact timeline of when this contract and others are going to be definitized and then when we start shipping the products. Generally speaking, we will start recognizing the revenues from a non-recurring engineering point of view once the contract is signed and we start doing the work. And then in the case of a sale, we would recognize the revenues once the products, in this case, buoys, leave the facility and are heading to the customers. And obviously in case of a lease, they're recognized over time. Generally speaking, we would look at getting these contracts -- generally speaking, these contracts are sort of set at a level that you're going to get very close to that total number. As soon as it is definitized, we will end up putting an additional release that shows kind of more details on the terms and the timings for these. But I expect these to be fairly short-term in nature.
Jeff Grampp: Okay, great. I appreciate those details. My follow-up, I'm curious to dig into, you guys have called out Latin America as a pretty interesting near-term growth market for you guys. I'm curious, is there something specific about either the customer base or the geography and really trying to understand, I suppose, how you can potentially replicate that success elsewhere or maybe even accelerate or grow further in Latin America?
Philipp Stratmann: Yeah. That's a great question, Jeff. Latin America for us is actually an interesting market for us. It's one we haven't specifically targeted previously. As we have grown the solution offering and particularly on the vehicle side, there is a huge appetite in places like Brazil, Colombia, like Mexico, to utilize autonomous vehicles for offshore infrastructure surveys. So Latin America so far for us is less of a defensive national security market and is really more focused on offshore energy or for offshore infrastructure survey work. Given the vast expanse of the coastline, if you're looking from the oil-producing regions, you go from Brazil, Guiana, all the way up and into the Bay of Campeche, you end up with autonomous vehicles really being a great solution in order to help the customers there do what they need to do in an environment where cash is constrained and interest rates are high.
Jeff Grampp: That's really interesting. Okay, that makes sense. If I can just sneak one more in, you guys called out the New Jersey State NOL program as a source of liquidity here. Is there a way to handicap how much that can continue to be a source of liquidity over the coming six, 12, 18 months?
Robert Powers: Sure. Thanks, Jeff. It's Bob. Yeah. So there are limits in place with the state of New Jersey. Currently, we have about $4 million left on what we can obtain from the state over the course of the next several years. The amount that we receive on an annual basis is determined by the state. Obviously, our NOLs have continued to add to the amount that we can receive from New Jersey. But at this time, I would expect about $4 million or so over the course of the next several years.
Jeff Grampp: Got it. All right, thank you guys for your time.
Operator: Thank you. Next question today is coming from Shawn Severson from Water Tower Research. Your line is now live.
Shawn Severson: Great, thank you. Good morning, everyone. Hey, Philipp, I was curious about the ability to deploy more WAM-Vs. So when you look at longer -- I guess I have two questions in there. When you look at longer term contracts and these vehicles are being deployed for longer contracts, how much can you grow that business? It's kind of an available capacity, if you want to call it that. And then that's tied also to the question of the length of these contracts, what they are today and what you think they might be in the future. Are these going to be multi-year deployments or are these six-month type runs to get a perspective on that reoccurring revenue, which is so important?
Philipp Stratmann: Yeah, Shawn, and thanks for being on. Both very good questions. I think in terms of market demand that we're seeing, to go back to your first point, I think we're only just starting to scratch the surface of what is possible with USVs. We think, and I think the numbers back this up, that there is several orders of magnitude of market demand still to come when it comes to USVs, which the WAM-Vs fit into. And you can see that across the range of applications. You're seeing, obviously, Samara [ph], which is one of our strategic partners, continues to scale at a rapid pace. We recently announced one of the Latin American deals. We're actively looking at other opportunities in the region. Outside of work that we're supplying directly at the moment, if you're looking at the USV market in general, look at the thousands of vehicles that are being built and supplied in places like the Ukraine. If you look at the efforts that the United States Navy is going through in terms of the increasing automation, an introduction of artificial intelligence into war-fighting capabilities. And I think we see that over the longer term. As I said, there are several orders of magnitude of growth left in demand. In terms of length of deployment, it varies. And I would put it into two buckets. There is the long-term supply of vehicles to customers, on either a take or pay or a lease to own structure, which we have in place for some of our customers. And they would typically stretch for, I can say, a year or two. And then you have still a fairly sizable contingent of the market that, particularly at the earlier stages, when they're taking one or two vehicles, is trying out a vehicle on a job that they've got. But I think as we are showing is that a lot of the larger contracts that I just referred to that stretch over two years or so, they tend to originate from customers who took a vehicle for one or two jobs for maybe two months or three months at a time. And have then converted that into, well, great, I really like what I did with this one vehicle. I'm going to take two next year. And then actually I want to take six or I want to take eight. And I think that's what excites us. And I think there is a -- that length of deployment increasing and the order of magnitude of the demand increase is what's really helping us grow our profit margin, as you can see in the SEC in Q3 financials.
Shawn Severson: So it's really the two factors coming together, much more overall demand, right? As time goes on, you expect the length of those contracts to increase, creating this much bigger stream of reoccurring revenue. And obviously that's great business and good margin. So both of these should be happening at the same time, units and length of contracts, right?
Philipp Stratmann: Yeah. I think you're right, Shawn. That go hand in hand. There is still a materially untapped part of the industry, let's call it the ocean industry in general, where vehicles aren't being used. And to tap into that market doesn't require us to do any material R&D. It requires us to just integrate different deployment tools on our platforms. And I think that's what's exciting. And you saw that with the demonstrations that our team did at Oceanology in London this week. And those different types of sonars and sensing equipment that can be deployed on the same platform that, might have done a work with an aerial during a couple of weeks beforehand, or that might have deployed a radio for a military customer at a different time.
Shawn Severson: Okay, thanks for that, Philipp. Another question, and I won't say too much about it. But for modeling our growth in commercial versus military, should we think about differences in margins, and is military or commercial more likely to have more contracts, right, longer term contracts? I'm just trying to understand the dynamics of the margin growth as these two businesses grow at different rates or separately.
Philipp Stratmann: I think the margins are pretty similar on both sides. And we're starting to see an increase in the duration of the terms that our commercial customers are wanting to sign up for, which is something in the past we've seen primarily from defense and national security customers. I think the other bit that is starting to really gain traction is the interest in the buoy side of the business, which is then longer -- those are definitely longer term deployments. And almost all of that is sitting in the defense and national security space.
Shawn Severson: Yeah. And then my last question is, on the commercial side, talking about Latin America whatever might be, are you seeing a -- are most of these projects that you're working on new projects, or are you coming in and displacing conventional practices or conventional solutions with your solution, or are you being deployed more on new things that are going on and new projects that are going on?
Philipp Stratmann: Both. It is often -- in certain cases, it is a new project, but it's a new project that may have originally envisaged using a traditional tool of doing the work, but they're now open to using different tools. Or it is an existing project where a customer is looking for alternative ways of doing the work, and therefore, we're displacing, let's say, a much larger carbon emitting, fully crude vessel, which then has, obviously, all the benefits that we would provide in terms of lower cost points and lower emissions. So it's definitely a mix of both.
Shawn Severson: Great. Thanks and congratulations on the progress.
Philipp Stratmann: Yeah. Thanks, Shawn.
Operator: Thank you. We've reached the end of our question-and-answer session. I'd like to turn the floor back over to management for any further closing comments.
End of Q&A:
Philipp Stratmann: Thank you for being an OPT shareholder. We have materially transitioned the company from an R&D product provider and developer to a provider of solutions in the ever-growing ocean technology sector. We look forward to further enhancing shareholder value, and thank you for your trust.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.